Douglas DeLieto - VP of IR:
Bob Bruggeworth - CEO:
Grant Brown - SVP and CFO:
Frank Stewart - SVP and President of Advanced Cellular:
Dave Fullwood - SVP of Sales & Marketing:
Philip Chesley - SVP and President of High Performance Analog:
Eric Creviston - SVP and President of Connectivity & Sensors:
Operator: Good day and welcome to the Qorvo Inc. Fourth Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to Douglas DeLieto, Vice President of Investor Relations. Please go ahead.
Douglas DeLieto: Thanks very much. Hello, everyone, and welcome to Qorvo's fiscal 2025 fourth quarter earnings call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the safe harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our annual report on Form 10-K filed with the SEC, because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today, available on our Investor Relations website at ir.qorvo.com under Financial Releases. Joining us today are Bob Bruggeworth, President and CEO, Grant Brown, CFO, Dave Fullwood, Senior Vice President of Sales and Marketing, Philip Chesley, President of High Performance Analog, Eric Creviston, President of our Connectivity and Sensors Group, Frank Stewart, President of our Advanced Cellular Group, as well as other members of Qorvo's management team. And with that, we'll turn the call over to Bob.
Bob Bruggeworth: Thanks, Doug. Welcome everyone to our call. Qorvo delivered a strong March quarter with notable achievements in each of our operating segments. In ACG, we supported a critical new phone launch by our largest customer. Qorvo content in this highly anticipated model includes an envelope tracking Power Management solution, custom developed for this customer over multiple years in support of their internal baseband. Our envelope tracking roadmap represents a long-term content growth opportunity for Qorvo as our largest customer's baseband shipments expand. In HPA, we posted a record revenue quarter in our defense and aerospace business. Strength was broad-based and included applications such as manned and drone-based airborne radar, space-based radar, SATCOM, EW, and missile defense systems. In CSG, we continue to increase our sales funnel of Ultra-Wideband opportunities. Our Ultra-Wideband sales funnel for automotive has grown more than $500 million over the last 12 months and now exceeds $2 billion. For fiscal year 2025, both CSG and HPA grew revenue double digits. As we think about the business broadly, we are pleased to see the positive impact of our ongoing initiatives to improve performance. Our growth and margin targets are anchored in multi-year strategy focused on winning content with our largest customer, building on our core RF and power expertise to drive diversification through CSG and HPA, and continuing to operate our business and manufacturing footprint in a disciplined and efficient manner. Key growth levers include continued momentum in defense and aerospace, expansion of our power management and ultra-wideband businesses, and sustained content growth in flagship and premium mobile devices. On the margin side, we are executing a clear set of actions. These include shifting away from legacy Android programs, scaling high-value products, and consolidating our manufacturing footprint in gas and in assembly and test, as well as the closure of our facility in Costa Rica, which Grant will discuss further in his remarks. These moves are already yielding benefits and position us well for the future success across our operating segments. Turning to our strategic highlights by market. In the automotive market, we began sampling a fully integrated Ultra-Wideband programmable SOC. This automotive qualified SOC addresses industry demand for highly accurate and reliable UWB technology in automotive applications, such as secure keyless entry, child presence detection, kick sensors, and other precision short-range radar applications. Also during the quarter, we significantly expanded our automotive connectivity footprint in Japan with a Wi-Fi design win for the leading OEM, and we expect first shipments to commence in calendar 2026. In consumer markets, we rent production of our first power management IC design win for a wearable. This payment optimizes charging for a smartwatch launching later this year. We also supplied a global manufacturer of power tools and outdoor power equipment with first samples of our battery management SOC, leveraging embedded AI and machine learning algorithms to improve battery performance. In collaboration with Nordic Semiconductor, we announced the availability of an Aliro compliant smart lock reference design that combines BLE and Ultra-Wideband. The Aliro protocol is backed by industry leaders and is expected to accelerate adoption by securing communication between smart locks and personal devices like smartphones and wearables. The reference design combines a Qorvo Ultra-Wideband SOC, enabling critical functionality like precision location and secure transaction with Nordic's multi-protocol SOC. Leveraging AI-trained algorithms and superior radar functionality enabled by our Ultra-Wideband front-ends, consumer applications such as smart locks can establish and differentiate end-user direction of travel and their intent to enhance security, safety, and efficiency. We continue to support the migration to Wi-Fi 7 with front-end wins spanning multiple years in routers, access points, and extenders. We also saw an increase in demand for our ball filters across 2.4, 5, and 6 gigahertz for consumer and enterprise Wi-Fi markets. Lastly, we've begun development for Wi-Fi 8 front-ends in alignment with market-leading chipset providers. Turning to defense and aerospace, we achieved a record quarter and record fiscal year in DNA revenue. This is the third consecutive year of year-over-year revenue growth. Qorvo is a leading supplier of high-performance products and foundry services to the U.S. government, defense primes, and other global defense and aerospace customers. The sales funnel for our defense and aerospace business currently exceeds $5 billion, and we see a path to scale this business both organically and inorganically to $1 billion annually. During the quarter, Northrop Grumman recognized Qorvo as one of their top supplier partners at their Supplier Excellence Awards. The award recognizes Qorvo for delivering U.S.-based ball filter technologies that enhance national security for the U.S. and our allies. We were also recognized by BAE Systems for being a critical supplier for airborne electronic warfare and commercial airborne SATCOM applications. Looking at our defense business broadly, governments around the world are allocating a higher percentage of GDP to defense spending, and Qorvo is critical to many of the highest priority programs. We view this as a multi-year tailwind to revenue and diversification. Also during the quarter, we launched next-generation silicon Ku-band SATCOM beamformer ICs for phased array-based SATCOM user terminals. There is robust demand for high-speed, reliable connectivity around the globe, and the SATCOM terminal market is expected to see very strong growth over the next several years. In industrial and enterprise markets, customer demand continues to grow for Qorvo's data center power management ICs. We are leveraging our performance, leadership, and client SSDs as we pivot to higher-value SSD opportunities in enterprise and AI data centers. We also began sampling our next-generation motor drive SoC for industrial applications. The motor drive SoC integrates our third-generation microcontroller with our analog front end. Qorvo pioneered arm-based motor drive SoCs over a decade ago, and commercial availability of our newest offering is expected next year. To continue growing our power franchise and deliver added flexibility to customer designs, we expanded our power management portfolio to include a brushless DC motor driver that pairs with a variety of MCUs and is optimized for a broad range of applications, including power and garden tools, drones, EVs, and e-bikes. Also during the quarter, customers leveraged our Ultra-Wideband SoC to develop a range of monitoring, security, and radar-based sensing applications. Qorvo's fully integrated ultra-low power SoC contains RF, processing, memory, and onboard software, and it's optimized to support a broad set of use cases. Radar-based applications include intrusion detection, gesture recognition, vital sign monitoring, and active monitoring and tracking of room occupancy. Turning to infrastructure, inventories in our base station business have stabilized, and our customer demand for our Small Sigma portfolio has strengthened. We're also in the early stages of DOCSIS 4.0 deployments, where Qorvo is a market leader. During the March quarter, we secured a new design win with a leading broadband supplier headquartered in Europe. In mobile, we expanded our opportunity at our largest customer beyond discrete components like tuners and integrated placements such as ultra-highband pads with the production ramp of our envelope tracking power management solution. Qorvo played a critical role in supporting this customer's spring phone launch. Our ET solution is mated with their internal baseband, and this represents a key design win and a durable multi-year content opportunity. For our largest customer, we're doing what we said during our Investor Day, which is to invest more and win more. For their upcoming fall launch, we've been awarded design wins supporting greater than 10% year-over-year content growth, and we are addressing additional content in future programs over multiple years. At our second largest smartphone customer, Qorvo design wins this year span our product portfolio. We are broadly represented in flagship and mid-tier smartphone launches, ramping now and in additional programs launching throughout the year. Design wins in 2025 include low-band, mid-high-band, and ultra-high-band paths, as well as mid-high secondary transmit, antenna tuning, discrete filters, and Wi-Fi 7 FEMs. We also secured Wi-Fi 7 Design Wins in support of multiple Android smartphone OEMs, and we are engaged on Wi-Fi 8 development with mobile Wi-Fi chipset providers. For Android OEMs based in China, shipments during the quarter supported 5G smartphones across the mid-, premium-, and flagship tiers. Though we continue to ship mid-tier Design Wins customers awarded to Qorvo prior to our pivot, all 5G product development in ACG is focused exclusively on premium- and flagship-tiers. In summary, we are seeing the positive effects of the actions taken to improve our performance. In HPA, a portion of the savings from our strategic exits of base station PAMs and silicon carbide is supporting growth in our defense and aerospace, as well as our power management franchise. In CSG, we are leveraging decades of leadership in RF solutions, exceptional customer relationships, and our core R&D to broaden and accelerate growth in automotive connectivity and SOCs for ultra-wide band and matter. In ACG, we have expanded our product portfolio for our largest customer with a successful ramp of ET power management, and we expect to build upon this with greater than 10% year-over-year content growth in our largest customers' 2025 fall launch. And with that, I'll turn the call over to Grant.
Grant Brown: Thanks, Bob, and good afternoon, everyone. We delivered solid results for the March quarter, exceeding the midpoint of our guidance with revenue of $869 million and non-GAAP diluted earnings of $1.42 per share. Similarly, non-GAAP gross margin of 45.9% and non-GAAP operating expenses of $247 million were also better than the midpoint of our guidance, reflecting continued cost discipline across COGS and OpEx, including recent restructuring actions. In the March quarter, our largest customer represented approximately 43% of total revenue. For the full year of fiscal 2025, our two largest customers represented 47% and 10% respectively. For fiscal 2025 in total, we achieved revenue of $3.7 billion and non-GAAP gross margin of 45.2%, up approximately 70 basis points compared to fiscal 2024, which is consistent with our commentary last year when we guided to year-over-year improvement. On the balance sheet, as the quarter ends, we held approximately $1 billion in cash and equivalents. We currently have approximately $1.5 billion of long-term debt remaining and no near-term maturities. We ended the quarter with a net inventory balance of $641 million. This represents a decrease of $15 million sequentially and a decrease of $70 million on a year-over-year basis. Turning to the cash flow statement, in the fourth quarter, we generated operating cash flow of approximately $200 million and CapEx of $29 million, which resulted in free cash flow of $171 million. For fiscal 2025 in total, we generated free cash flow of $485 million, returned over $350 million to shareholders via share repurchases, and retired over $400 million of debt. Regarding our outlook for the current quarter, we are providing forward-looking quarterly guidance despite the continued uncertainty surrounding tariffs and broader macroeconomic conditions. Our view reflects numerous underlying assumptions, including those related to a dynamic global trade environment and ongoing supply chain challenges. For reference, in our June quarter guidance, we have assumed a direct tariff-related impact of less than $1 million. This represents a historical run rate plus relevant new tariffs that will impact the quarter. Beyond the June quarter, if the 90-day pause is not extended, relevant exemptions expire, and other retaliatory tariffs become permanent, we expect the direct tariff impact could rise to high single-digit millions per quarter in total across COGS, OpEx, and CapEx. While the timing and scope of these changes remain uncertain, we are actively monitoring the situation, working closely with customers, and taking action to mitigate the impact. With that context, our expectations for the June quarter are as follows. Revenue of approximately $775 million plus or minus $25 million, non-GAAP gross margin between 42% and 44%, and non-GAAP diluted EPS between $0.50 and $0.75. As expressed during our previous call, the June quarter has multiple seasonal items to consider. June is the lowest seasonal quarter for our largest customer, and we are on the other side of the Galaxy ramp at Samsung. Like prior years, our DNA business will be down sequentially in June due to program timing. However, given the strength in bookings activity, our expectations for revenue in the June quarter are higher than what we anticipated when we provided guidance last quarter. We project non-GAAP operating expenses in the June quarter to be approximately $250 million. This includes other operating expense of $1 million to $2 million associated with residual portions of our digital transformation project and other related items. Below the operating income line, non-operating expense is expected to be between $10 and $12 million, reflecting interest paid on our fixed rate debt, offset by interest income earned on our cash balances, FX gains or losses, along with other items. Our non-GAAP tax rate for fiscal '26 is expected to be between 18% and 19%. However, the impact of global minimum tax legislation for U.S.-based companies under the new administration, as well as changes to international tax policy, remain uncertain. Qorvo continues to execute on initiatives to improve revenue mix and gross margin with contributions anticipated from each business segment. Beginning with ACG, we expect to enhance margins and reduce variability as our portfolio management efforts and pricing strategies reduce our exposure to mass-tier Android 5G. In HPA, the divestiture of our silicon carbide business is a margin accretive move, as is the expected growth within DNA. In CSG, gross margin will increase given the relocation of gas production to our high-volume Oregon site, and we expect operating margin will continue to improve as our SOC and automotive connectivity businesses scale. Additionally, we expect to expand gross margin in CSG as we transition our UWB products at external foundries from a 40 nanometer to a 22 nanometer production process. Qorvo's manufacturing strategy is to internally produce only the most differentiated elements of our products, to geographically align production with customers and suppliers, and leverage the scale, capabilities, and cost-effectiveness of our outsourced partners. For reference, over two-thirds of our production costs are external. This includes procured raw materials, wafers purchased from external foundries, as well as packaging, assembly, and test services provided by our OSAT partners. We continuously evaluate opportunities to reduce our capital intensity and product costs. As another step in this direction, we have decided to close our facility in Costa Rica to further consolidate our footprint and move closer to our customers and external manufacturing partners. The complexity of our solutions, coupled with global RF compliance requirements and multi-year design cycles, require considerable collaboration with our customers. We are working closely with our customers and the team in Costa Rica to ensure a smooth transition and expect this action to be completed early next calendar year. Regarding operating expenses, as a part of our ongoing efforts to drive operational efficiency and align our cost structure with long-term strategic priorities, we executed a meaningful workforce reduction late last year. This action was primarily focused on our mass-market Android business and the related corporate support functions. In parallel, we streamlined our digital transformation efforts, canceling elements of the project to ensure the scope aligns with the anticipated economic benefits. Finally, we sold our silicon carbide business, which will be accretive to both gross and operating margins in fiscal '26. We remain committed to optimizing our portfolio and regularly evaluate each of our investment areas. Where businesses do not meet our financial or strategic objectives, we will continue to act decisively, whether through divestiture or exit, to focus our resources on core, high-performing areas. We're confident that the steps we are taking today across our product portfolio, business segments, and manufacturing footprint enable us to expand growth, profitability, and diversification. We're reducing capital intensity and focusing our internal production only where it differentiates our products. The benefits of these strategic actions will become increasingly evident as we advance through fiscal '26 and into fiscal '27. Before we open up the call for questions, I'd like to reiterate that the purpose of today's call is to discuss our fourth quarter results and outlook. We appreciate you keeping your questions focused on those topics. At this time, please open the line for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Thomas O'Malley from Barclays. Please go ahead.
Thomas O'Malley : Hey, guys. Thanks for taking my question and congrats on the nice results. I wanted to ask about the commentary on content. I'm the largest smartphone customer. Obviously, that's a really nice forecast for the year. Can you talk about things that are driving that? Obviously, you have an ETE chip that's coming into play. But also, you would be concerned in a broader environment that there may be pricing headwinds. Maybe just broadly, can you talk about your largest customers and if you're facing any sort of pricing squeeze over the next couple of quarters or if you're able to offset that in any way? I just want to understand the context there. Thank you.
Bob Bruggeworth: Sure. Thanks, Tom. We'll go ahead and let Frank Stewart who runs the business go ahead and answer your question for you.
Frank Stewart: Yes. Hi, Tom. Maybe I'll start with the largest customer side of your question. Yes, we're really excited about the fall launch upcoming, really proud of what the team accomplished in capturing content there across multiple product categories. It covers things that you know well, antenna tuning and switches. We've added filters there. We've continued to be strong in our ultra-high band content. As we talked about for the spring launch, we're going to enjoy some envelope tracking content in those models as well.
Bob Bruggeworth: Dave, you want to talk about how things are going with Samsung as well?
Dave Fullwood: Yes. I think, Tom, you asked about pricing too. We've talked a lot about what's been going on in the mass tier and the challenges that we face there. We've been exiting that part of the business. We still see in that premium flagship tier, it's about performance, and that's where we're competing. Like Bob mentioned on the call, we had some nice content in our Galaxy S25 ramp. Still some phones coming in that platform that are yet to ramp. Then we talked last quarter, I think, about our content in the second half flagships. This is kind of a flip and fold and fan edition type models. We had pretty low content last year. We said we were going to win that back, and we have. We had less than $1 of content last year, and we've got multiple dollars of content. Very similar to what we have in the S25 ramping in the second half of the year. We feel pretty good about our position there.
Thomas O'Malley: Super helpful on all the color. Just on the fiscal year, you guys had kind of previously talked about a little bit of a decline. One side of things, it sounds like you're seeing some real strength, and then on the Android side, you're obviously being more strategic in where you invest. If you look at the cadence for the year, which is something that I think is a little difficult to kind of model and look at, how fast should we be seeing Android fall off? Just because it looks like in the March quarter, you actually had a little bit of an uptick there. Is that last-time buys? And then how quickly is that going to fall off throughout the year?
Bob Bruggeworth: Thanks, Tom. This is Bob. Actually, we're going to see a little bit of an uptick this quarter in June, which is typically consistent with the last three years. We typically see Android up as a percent of sales in our business, and it's going to be up slightly in dollars. Depending on what new phones that are launched that we're in, and the decline in some of the master phones are ramping down. We're enjoying good business. We talked about some of the U.S. customers, that being Google, obviously. We're doing well there as they ramp up. Dave mentioned other phones. It has all to do with the timing of new phones and how well they sell. But it is going to decline year over year, as we said. We're not backing away from that change.
Thomas O'Malley: Thank you, guys.
Operator: Thank you. Our next question comes from Harsh Kumar from Piper Sandler. Please go ahead.
Harsh Kumar : Yes. Congratulation also on very nice quarter and results. Bob, maybe you could clarify something for us, you mentioned that you won an ET solution on the internal baseband for a customer. Are you sharing this with somebody? And then secondly, you also talked about sort of a nice double-digit content increase. So is content increase coming because the baseband is moving to other models? Or is it coming because you're also winning stuff across the board in other categories as well? And then I have a follow-up.
Bob Bruggeworth: Yes. Thanks, Harsh. I'll go ahead and take the second question. I mean, as Frank has already outlined, we've picked up some share in a number of different buckets. So we'll start there and ET PMIC, we are sole sourced. We've been sole-sourced when that -- first, the baseband started at Infineon that they use, then it went to Intel and now it's their internal modem. So we continue to be sole sourced. It's highly iterative process. They're very integral work with the baseband. And as and I'll just use Qualcomm as an example, they were very tightly coupled with their own ET PMIC. And it's the same way with this base band.
Harsh Kumar: Understood. Thank you. And then, Bob, another clarification. I guess, curious what you're seeing with your largest customers. There's been a lot of reports of pull-forward companies. I don't blame them, but a lot of companies are doing stuff to avoid tariffs. I guess, curious if you are seeing that and you think your results are reflecting that. And if that's the case, when do you think you go back to normal? Or maybe you're not seeing it. I'd just love to understand what's happening.
Bob Bruggeworth: Yes, I think one thing that people need to keep in mind here is they did launch a spring phone, which they typically don't. And, when you launch a new phone, you typically produce more to go ahead and stock your channels so you get ready for the sell-through. And we're expecting that to come down next quarter, which is typical when you launch a new phone. So from that perspective, it's pretty normal. And, when I look at the overall business, with some things moving the quarter, some things move up the quarter, kind of normal. So I'll stop there, Harsh. I mean, we're not seeing anything massive moving one way or another right now.
Grant Brown: Yes, no, I would reiterate that. I think we've seen some modest activity. It's only notable in light of the tariff environment, but not meaningful in terms of dollars, primarily smartphones generally, but nothing that suggests customers are overreacting in terms of push-ins or, -- excuse me, push-outs or pull-ins in every quarter. So nothing abnormal there.
Harsh Kumar: Appreciate it, guys. Congrats again. Thank you.
Bob Bruggeworth: Thank you, Harsh.
Operator: Thank you. The next question comes from Chris Caso from Wolf Research. Please go ahead.
Chris Caso : Yes, thank you. Good evening. I guess the first question is regarding some of your comments about the direct tariff impact. If things are in pause, you talked about high single-digit millions. Can you detail a little bit more of what your assumptions are behind that? What do you mean by that? And just in general, there's a lot of uncertainty with tariffs in the U.S. there's some concern about, what tariffs may be charged and what might be paused going into China. Can you just kind of update us on your position and what your assumptions are right now?
Grant Brown: Hey, Chris, this is Grant. Let me spend some time on this one because I think it's an important question. The first part of it there is that the assumptions themselves, at least in the high single-digit million, I wouldn't necessarily think of us as, anticipating any twists or turns in the tariff environment. It's probably unknowable, but you could think of if all the worst things that we know of today would work against us, that would be how we would size it. It's an unlikely scenario, but I wanted to highlight just, in the grand scheme of things how small the overall impact would be, and maybe on that front, how we think about the tariff environment, it does remain dynamic and unpredictable, but, I can start there, and then, we can talk a little bit about how we're managing it. we've had mitigation measures in place for quite a number of years, and today we continue to leverage those same tools, but, again, the situation is fluid, as we pointed out in my prepared remarks, and in the June quarter, we've got about $1 million there, or less than that, and it represents a historical run rate, plus some of the new tariffs that are relevant in the quarter. That's across all of COGS, OpEx, and CapEx, so it's probably better than fear, they're complex as to, what goods they apply to, how they're calculated, and who pays them, all depends on the countries involved, the nature of the products, and relevant commercial terms, so it's specific to any given company. Regardless, you should know that we're not disadvantaged due to our geographic presence. We have a hybrid manufacturing footprint, multiple qualified flows, and a lot of flexibility in how we serve our customers. But, that said, maybe a little bit of detail, I could break it into maybe four categories for you. The first would be U.S. to U.S., where a meaningful amount of our revenue comes from products that we manufacture in the U.S., and then we sell to U.S. customers. Our defense business is a good example of that, and it's sizable. It has some exposure related to input costs, such as aluminum, but generally very little tariff exposure. The international to U.S., in that case, there isn't much product that comes back into the U.S. that's subject to tariffs. However, tariffs do increase the acquisition cost for factory equipment, so in that particular scenario, the impact is largely CapEx-related. In an international to international scenario, we generate revenue from products that are built and sold outside the U.S., so, for example, our tuners and ETP mix are fab at non-U.S. silicon foundries and then sold to international customers and contract manufacturers, so that's a good example of things that are on that international to international exposure. And then, lastly, probably the most misunderstood is the U.S. to international category. In this case, our integrated module business is a good example. We produce intermediate goods, such as wafers that contain our filters and PAs at our U.S. facilities, and then we ship those to bonded pre-trade zones. Once in Asia, our OSAT partners integrate those with a considerable amount of other content, non-U.S. components, such as laminates, capacitors, et cetera. The bill of material contains dozens and dozens of components, and they substantially transform those raw materials into some finished goods, so that when the part is actually built during assembly, that is where the substantial transformation occurs in the country of origin and is designated. So we're actually made in China, sold in China, if you will. So there's no noticeable impact. Obviously, the tariffs are complicated, and we're managing it, but I think it comes down to each company's particular circumstances. The overall impact being generally small today, obviously there could be some broader demand-related impacts, but, just insofar as the direct impacts, I think that helps shape Qorvo's exposure for you. We have a lot of options and flexibility, and we'll continue to leverage those.
Chris Caso: That's very helpful, and thank you very much for the detailed answer. For my follow-up, I guess I wanted to get to the fiscal '26 guidance, and you had mentioned, and I guess perhaps it wasn't guidance, but it was, some indication of, kind of flat revenue, 150 basis points, gross margin expansion. In the current environment, is that still a good model for us to follow?
Grant Brown: Sure. I'll take that one, too. It's probably worth reflecting on it. I'm not going to restate it here, what we said last quarter, but, we didn't have overly ambitious forecasts to begin with, so, we're making substantive changes to our business this year in fiscal '26, and our commentary has reflected that. We've removed base station PAM, so a carbide business we've sold, and we're exiting $150 million to $200 million worth of lower-margin Android business, so we're making some substantive changes. I mean, if you think of the drivers on the year, DNA is arguably cyclical, but far less correlated to the macro economy than perhaps consumer-related end markets. Similarly, we're seeing the content that Frank talked about at our largest customer growing over 10% and added a new revenue category there with the ET PMIC, so there's some secular trends here that we're still seeing that help buoy our perspective on the year. all that said, though, we're repositioning the business for long-term success, so fiscal '26 is really more about execution and margin improvement to create diversification opportunities outside of mobile where we're on track. We haven't seen anything that materially changes our forward view, but acknowledge that there are potential for indirect tariff impacts. I mean, in the meantime, we'll just continue to issue quarter by quarter guidance, incorporating all that we know at the time it's issued and executing on the things that are under our control to drive those financial results we talked about last quarter.
Chris Caso: Got it. Thank you.
Operator: Thank you. The next question comes from Karl Ackerman from BNP Paribas. Please go ahead.
Karl Ackerman : Yes, thank you. I have two, please. First, is your content growth with the largest customer coming from your attach rate on our own baseband or are you also seeing content on third-party basebands as well? I'll have a follow-up, please.
Frank Stewart: Yes. Hi, this is Frank again. Both. The team did a good job of succeeding on content across the Board, so I think we've been clear that when it comes to our ET PMIC, that is unique to the internal baseband, but the content that we captured on all the other product categories mentioned is broad-based across both.
Karl Ackerman: Helpful. Thank you. And then second, where are you on working through previously under absorbed inventory, and do you foresee tariffs to impact your China-based demand, and I suppose if demand were to moderate, is the margin associated with the China-based demand higher than corporate average? So if you could just follow up on that, that would be great. Thank you.
Grant Brown: Well, we've actually made really good progress bringing down our inventory overall, so, very proud of that. It's unlocking some free cash flow for us. I think it's been a positive trend for us. We didn't overbuild. We brought utilization down very quickly quite some number of quarters ago in order to react to it, and we've worked through the inventory levels successfully. So we don't see anything abnormal from an inventory perspective or expect there to be a noticeable impact at this point.
Karl Ackerman: Thank you.
Operator: Thank you. The next question comes from Srini Pajjuri from Raymond James. Please go ahead.
Srini Pajjuri : Thank you. First a clarification, and then I have a question. On the clarification, you talked about $150 million to $200 million headwinds from exiting the Android, I think low-end Android last quarter. Is that still on track? Are you tracking better or worse? If you can clarify that, then I have a question.
Bob Bruggeworth: Yes, thanks, Srini. It's on track, laying out as we expected.
Srini Pajjuri: Okay, thank you. And then, Bob, on the DNA, the business looks like the business has been faring quite well, and some of the trends that you highlighted make a lot of sense. You also talked about, potentially getting to a 1 billion annual run rate. Could you give us maybe some color as to where the business is today in terms of run rate? And then also, in terms of, product categories and maybe, geographic exposure, if you could give us, because we don't get a lot of detail from this business, so I think any color on the business would be helpful in terms of the growth drivers. Thank you.
Philip Chesley: Yes, Srini, this is Philip, and I'll maybe dive into that a little bit as well. So I think kind of break down your question here. So I think, Bob said in his prepared remarks that we have over a $5 billion design wind funnel right now. And, we sized the business, I believe it was last quarter or so, at around $400 million. When you look at our design wind funnel, it really is broken pretty evenly between the big in-market segments that we kind of play in today. And if you look at that, that's, radar comms, electronic warfare with our solid state PA technology that we have, which is high power RF, space and satellite based comms, SATCOMs, differentiating that between space-based, more ground-based, kind of SATCOM terminal business. And as well as missile applications, whether that's traditional, hypersonic. So, we touch a lot, most of the segments, in the DNA space. And so, when you look at where we're winning, it's really driven around, this big upgrade cycle that we've been seeing for a lot, right? And, we've talked about it at Investor Day where, whether it's an old, an older asset, whether that's a ship or a plane, it needs upgraded radar capabilities, whether it's a new system. I mean, they just announced the F-47 as an example, right? And so that's going to require a lot of advanced radar platforms that, is right technologies that, is what we provide. So you look at that. The other thing I would say is that, the DoD, has an approved, continuing resolution right now for FY '25. If you look at where that is focused, that's focused on deterring China, that's focused on hypersonics, that's focused on alternative GPS, that's focused on UAVs. All segments where we play and have, wins in big programs. We can't mention them all. We're under contract. I can't give specifics. The other thing that gets me excited as well, you look at the, the budget for FY '26. They already are talking about $150 billion worth of additions over the next few years, to really beef up, advanced technology platforms here in the U.S. And then I think one of the things that we haven't sized in, because it's relatively new, you look at the foreign military sales and what's happening in Europe with their, kind of rebuilding of their military capability. What I'm hearing talked about is that that's a $1 trillion opportunity upgrade over the next few years, over the next five to 10 years as they do that. So, today we have, I would say a meaningful percentage of our revenue in DNA, that's foreign military sales. We're engaged with every one of the key customers in Europe in particular, but not just Europe, outside of Europe as well. And I think the last thing that I would, well, two last things I'd leave you with. One is that, the other area that I think is exciting is you see a lot of these what I'll call new tech defense players. I won't list them by name, but there's a lot of, new Silicon Valley entrants that are coming in and coming in with new technologies that they're trying to move faster than they ever have. And we have really strong partnerships with those customers. And so I think that's big for us. Last thing I would say, and again, I'm saying this because we don't get to talk about this a lot, is that I want to remind everyone, Qorvo is really unique in the states. We have -- most of the key RF technology onshore that are needed for these platforms, whether that's GaN, whether that's gas, beamforming through our Anokiwave acquisition, BAW filters, low frequency, high frequency, high power solid state PAs which are critical for electronic warfare applications, and we have that advanced RF packaging. And I can't think of a single other company out there that has all of that in one place. And I think that's why you see such, excitement around it and our funnel really accelerating over the last year or so.
Srini Pajjuri: Thanks, Phil. Very detailed. I appreciate it.
Operator: Thank you. The next question comes from Edward Snyder from Charter Equity Research. Please go ahead.
Edward Snyder : Thanks a lot. Grant, based on the number you just gave for your largest customer with fiscal year, it looks like you were flat year over year in total revenue. We can talk, different categories, but it kind of speaks to maybe I know you've gotten some contact gains on the last fall's phone, but it doesn't seem like you got a lot of boost from the spring phone. So, one, I want to get your feeling on, well, the content gains material in the unit volume is just weak or why are we staying kind of flat? And then secondarily, based on even our teardown, it looks like your content might have been a little bit light. Without the ET PMIC, it would have been light on the spring phone. With ET PMIC, it looks like about even maybe still a little bit down. Is that a correct assessment? And is that the baseline we should expect from the internal modem phone for this year or next year? And then I have a follow-up.
Frank Stewart: Yes. Hey, Ed, this is Frank. Maybe let me take the last one with respect to the 16E that was just released. Maybe I could clarify. That is definitely what I would consider one of their consumer SKUs, and we've got different content across different phone types. But for a consumer SKU, that was actually a pretty good phone for us. We're pretty happy with our dollar content there. So maybe that's the first clarification. I'll let you do your follow-on question, but I've got some more thoughts for you that I'm guessing will correlate.
Edward Snyder: Okay. And then in terms of tariffs, you've had several module houses. Correct me if I'm wrong, but in your latest filings, you had, a module assembly in Costa Rica, Korea, Germany, and China. You closed in Costa Rica to consolidate that. I understand old tracking facility. Does that mean most of this stuff will shift to Asia? Or are you going to try to distribute or how are you working that business? Because that seems to be a critical factor in determining where the tariffs are going to wind up in the end.
Bob Bruggeworth: And this is Bob. Let me make sure we're clear. What was done in Costa Rica was really the filter technologies there, the final -- we'll call it back-end packaging. There, which is then shift to our module manufacturers, whether they're in China or Vietnam or wherever they are in the world. So we are moving to Asia. And in Germany, that doesn't build modules. That builds product for us, the CATV line amplifiers which is nothing like anything in mobile. So I just want to make sure we're clear on those factories do not build modules, Costa Rica nor Germany.
Grant Brown: And Ed, maybe just to follow up on your question regarding Asia, we have multiple flows for a number of these products as well as, multiple partners that we can use. So, depending on, the end user, optimal structure and we'll work that with our suppliers and partners. We have a lot of options and flexibility as it relates to tariffs.
Frank Stewart: If I could, this is Frank. I was going to circle back to answer what might have been your broader question. Maybe to give as much color as I can at our largest customer, there's actually multiple product types where there's two suppliers that share content when they service that customer. Qorvo, for example, our antenna tuning, maybe just to clarify that topic, Qorvo has actually shared that antenna tuning content with another supplier for a number of years, actually going all the way back to 2020. It's the same situation we have for ultra-high band. It's a similar situation we have for discrete filters where Qorvo has shared content with some other supplier for multiple generations. If you think within that environment, within that environment that we've been in for multiple years, as we said before, Qorvo is on track to capture greater than 10% content upside in this year, this fall model. That's something we're really excited about. Then when you look forward, we see a similar environment going forward that I've just described. In that environment, we're excited about the additional content that we're working to gain there.
Edward Snyder: I understand it's very difficult to predict because of the wackiness of this year and next year in terms of having two phones and that sort of thing, too. With your 10% content increase year over year, can you just maybe give us a little bit of idea of what assumption you're using in terms of split between internal versus, say, Qualcomm in the fall that drives you that number?
Bob Bruggeworth: Yes, this is Bob. My usual line when we get to this place is we don't comment on future architectures. Obviously, we know it because we have to build to it, but it's not something we can comment on here.
Edward Snyder: Okay. Thanks, guys.
Operator: Thank you. The next question comes from the line of Gary Mobley from Loop Capital. Please go ahead.
Gary Mobley : Hi, guys. Most of the juicy topics have been addressed, but I'll do my best here. Do you still feel comfortable with the HPA and CSG businesses growing a double-digit percent in fiscal year '26? Within those two segments, how much business would you characterize as maybe being classically cyclical or subject to ebbs and flows in distribution and customer inventory and all that specific prior you've seen any sort of lean shoots in terms of order and backlog, Phil?
Bob Bruggeworth: Gary, you were pretty choppy. Let me first start with I believe your first question was our outlook for HPA and CSG growing double-digits this year. The answer is yes. The second part, I'm not sure we totally understood. We're not counting on any inventory builds or anything like that at customers. We're in the right places. Phillip's done a great job talking about DNA. I'll let Eric talk a little bit about CSG and where he's seeing growth this year.
Eric Creviston: Sure. Sure. So, in CSG, of course, the largest revenue segment today is Wi-Fi, in particular high-performance Wi-Fi transitioning six to seven and already beginning R&D on eight. So, that's got dollar content growth just as we've seen in multiple generations of cellular RF. And I think that's moving at a pretty high velocity. So, we're filling kind of right to demand and demand's moving out for new base stations and Wi-Fi access points for industrial enterprise and so forth. So, that's sort of the largest segment. It's certainly got growth opportunity with content. And then, of course, most of the investments going into the SOC business and the sensor business today. In the SOC business, we're looking at BLE matter as well as ultra-wideband, both experiencing really rapid growth relative to our average. I've been particularly excited actually about the matter growth opportunity. We're not the first in that space, but we've got some unique capability we're bringing to it and design traction and even volume ramping is going very well. Ultra-wideband, of course, we are a leader in technology there. Automotive has gotten very, very strong for us in terms of design and takes quite a while, of course, to get that production revenue. But once we do, we'll be running for many years in that. We're engaged across a number of very large opportunities and it's going very well in auto. But then also ultra-wideband, I think we're leading in the other applications, in particular, connected home applications. We've got a lot of opportunity there. And also in other sort of lighting applications, as we mentioned, with matter. So really, across the board, a lot of opportunities driving these new technologies. The wheel's just beginning to spin and pick up momentum here.
Dave Fullwood: And the other, Eric, is the indoor location and real-time location services. We talked about that ramping. So that is ramping now. It takes time. I know the market takes a while to develop, but that will start to build on itself as we head through this fiscal year and into the next couple of years.
Gary Mobley: Thank you for that. And Grant, just a quick follow-up. Are you still expecting OpEx to help in this $250 million per quarter level for the balance of fiscal year 2026?
Grant Brown: I think you're referring to maybe our guidance for the year quarterly for OpEx at $250 million. We still believe that's a reasonable threshold, plus or minus 2%, 3%, maybe. There's seasonal impacts. There's potentially other items in there. I'd call out the weakness in the U.S. dollar as one that works against us insofar as our OpEx. Again, not necessarily meaningful on a normal basis, but should it continue to weaken significantly, that could add to OpEx and other seasonal factors. But generally, that's a good working assumption at the baseline.
Gary Mobley: Thank you.
Operator: Thank you. The next question comes from Timothy Arcuri from UBS. Please go ahead.
Unidentified Analyst : Thank you. This is Jamal Kholan [ph] for Tim. Guys, I just wanted to ask about tariffs impact, and you mentioned taking steps to limit the impact. But can you talk about exactly what is it that you're doing? We know you benefit from our free zones in China, but what exactly are you doing to limit the impact here?
Grant Brown: Yes, sure. We have a pretty experienced team, right? You go all the way back to Huawei's ET being banned, and there were similar dynamics in play there. We successfully navigated those challenges before, and we identified the same solutions that are being used and have been for quite some time will continue to use. So we'll optimize around those. We have flexibility in our supply chain. We have alternate second sources. We've been collaborating with customers on their mitigation strategies and the locations where they work and produce their own products. But at the end of the day, I think it really comes down to the country of origin question, right? I mean, we have a substantial transformation in the parts when they are built, assembled, and tested in China and sold to Chinese OEMs or contract manufacturers. So that's, I think, probably misunderstood, but a really key element of what's going on here.
Unidentified Analyst: Got it. Okay. And then just one quick one. I just want to double-click again on the demand pull-in point that was made previously on the call, but in the context of your guidance. So how much of the demand into the June quarter, in your view, could be related to tariff?
Grant Brown: This is Grant. Let me take that one. I think what you're alluding to maybe is some pull-ins related to tariff activity. I mean, like we had commented, we've seen modest activity. It's only notable in the light of the tariff discussion, but it's not meaningful in terms of dollars. It's largely smartphones, and we're not seeing any customers overreacting, pushing, or excuse me, pull-ins and push-outs occur every quarter. So it's relatively normal. I don't know, Dave, if you have any?
Dave Fullwood: I can shed some light on that, too, in particular with some of our customers in China. Of course, initially, when all this stuff gets announced, it creates a bit of panic, and people just don't understand how things are going to work. And so we get on calls, and we kind of work through our supply chain, their supply chain, and what are the real risks, and whether they can be mitigated or not. And so I can tell you that a lot of that activity has died down. As people really start to understand the situation, really understand what Grant described in terms of how country boards is determined, all that activity kind of starts to fade away. And so then the motivation to change their demand profile goes away as well. So that's kind of what we're seeing play out.
Unidentified Analyst : Thanks, guys. Very helpful.
Operator: Thank you. We'll take that as the last question for today. And this concludes our question and answer session. I would now like to turn the conference back over to the management for closing remarks.
Bob Bruggeworth: We want to thank everyone for joining us on tonight's call. We appreciate your interest. We look forward to speaking with many of you at our upcoming investor events. Thanks again. Hope you have a great evening.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.